Operator: Good morning, and welcome to the Antero Resources First Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please also note that this event is being recorded. I would now like to turn the conference over to Mr. Michael Kennedy. Please go ahead.
Michael N. Kennedy - Antero Resources Corp.: Thank you for joining us for Antero's first quarter 2017 investor conference call. We'll spend a few minutes going through the financial and operational highlights, and then we'll open it up for Q&A. I would also like to direct you to the homepage of our website at www.anteroresources.com where we have provided a separate earnings call presentation that will be reviewed during today's call. Before we start our comments, I would like to first remind you that during this call, Antero management will make forward-looking statements. Such statements are based on our current judgments regarding factors that will impact the future performance of Antero and are subject to a number of risks and uncertainties, many of which are beyond Antero's control. Actual outcomes and results could materially differ from what is expressed, implied or forecast in such statements. Joining me on the call today are Paul Rady, Chairman and CEO; and Glen Warren, President and CFO. I will now turn the call over to Paul.
Paul M. Rady - Antero Resources Corp.: Thank you, Mike. And thank you to everyone for listening to the call today. In my comments, I'm going to discuss productivity gains that we continue to achieve through our advanced completions, highlight a couple of notable pads that were recently placed to sales and provide updates on key infrastructure projects that influence our development plan going forward. Glen will then highlight our first quarter financial results, and discuss our peer-leading liquids-rich position and development plan, which provides us with a material uplift on our realized pricing. Finally, Glen will conclude with a summary and the operational flexibility and the integrated business strategy at Antero, and how this provides us with tremendous long-term operational visibility. Let's begin with discussing the operational momentum that has continued at Antero over the last few years. As illustrated on slide number 2, entitled Marcellus completion evolution, the main chart shows the evolution of Antero's completions over the last few years, and the productivity gains we've achieved during this time. As you can see on the bottom left of the graph, the dark green diamonds represent wells completed with our legacy completion design, using 1,250 pounds or less of proppant per foot, and 32 barrels of water per foot on average. These 2015 completions support the 1.7 Bcf per 1,000 feet-type curve, at which the majority of our reserves are currently booked. Moving up and to the right, the red diamonds represent wells completed with 1,500 pounds per foot of proppant and 34 barrels per foot of water, essentially the recipe that we've used in 2016. As outlined on the insert graph at the top left of this slide, many of these wells now have over a year of production history and continue to support a 2.0 Bcf per 1,000 feet-type curve. Then towards the end of 2016 and the beginning of this year, we began testing higher proppant loads, ranging from 1,750 pounds per foot to 2,500 pounds per foot. At this time, we are very encouraged by the higher intensity completions and will continue to analyze the results from these completions as it relates to EURs and overall well economics. Now directing you to slide number 3, entitled recent Marcellus well results, I'd like to provide some more color around some of the encouraging results I just mentioned. The first pad I'll highlight is a four-well Marcellus pad located in the southern portion of our rich gas area in West Virginia. This pad is significant as it was one of the first pads completed with 2,500 pounds of proppant per foot. The four wells have an initial average wellhead EUR of 2.2 Bcf per 1,000 feet of lateral and an average processed EUR of 2.5 Bcfe per 1,000 feet of lateral, assuming full ethane rejection. What's most notable about this pad is the fact that it is located outside of our high-graded core areas. To the extent we continue to see encouraging results in this area, it is likely that the red and orange high-graded core outlines could be extended. The other pad I'll touch on from this slide is a four-well pad completed in our highly rich gas regime in the Marcellus. Four wells on this pad have an average lateral length of 10,000 feet, an average wellhead EUR of 2.4 Bcf per 1,000 feet of lateral and an average processed EUR of 2.9 Bcfe per 1,000 feet of lateral assuming full ethane rejection. In addition to the enhanced productivity from these pads, the other key take-away from this slide is the continued downward trend in finding and development costs. As highlighted in yellow on each pad, F&D costs are trending as low as $0.35 per Mcfe. Now turning your attention to slide number 4, entitled improving Marcellus returns. When you combine these increased productivity gains with Antero's long laterals, you can really see the material impact on well economics and value creation for shareholders. Note at the bottom of the page, you can see that we have over 1,800 undrilled locations at the 1,200 to 1,300-plus Btu regimes and we continue to add to our core drilling inventory, as you can see on slide number 5, titled a leading consolidator in Appalachia. We've added 113,000 net acres to our core Marcellus and Utica positions since the beginning of 2016, including 32,000 net acres thus far in 2017. Next, I wanted to provide an update on a couple of the long-haul infrastructure projects and how the projects impact our overall development plan. In early February of this year, Energy Transfer received FERC approval to proceed with the construction of the Rover Pipeline. Energy Transfer has reiterated its plans to place Rover into service in the third quarter of 2017 with Phase 1 expected to come online in July of 2017 and Phase 2 expected to come online in November of 2017. As a reminder, we are an anchor shipper on Rover with an 800,000 MMBtu per day firm commitment. Phase 1 of the project will connect our Utica assets to the Midwest and Gulf Coast through the Seneca Processing Facility in Ohio. And Phase 2 will connect our Marcellus assets to the Midwest and Gulf Coast markets through the Sherwood Processing Facility in West Virginia. A number of Utica locations are currently in the process of being completed in anticipation of the Rover Phase 1 startup. Once Phase 2 is placed in service connecting the Sherwood facility with Rover, we will likely fill Rover with Marcellus gas while our Utica production continues to grow into the capacity. Rover will then deliver our Marcellus and Utica gas to either the Midwest markets or on to our ANR South firm transport that delivers to the Gulf Coast. Given the optionality that we built through our drilling inventory, development plan and firm transport portfolio, we feel comfortable in our ability to adapt to a number of different pipeline in-service timing scenarios and deliver on our long-term growth targets. Shifting to liquids infrastructure, I'd like to discuss a couple of announcements during the quarter that enhanced Antero Resources' long-term development plans. In February of this year, construction on the Mariner East 2 pipeline began and it is expected to be operational in the fourth quarter of 2017. As illustrated on slide number 6 titled NGL infrastructure buildout in the Northeast, Mariner East 2 will transport NGLs from the Marcellus and Utica to the Marcus Hook export facility. We are an anchor shipper on Mariner East 2 with a 61,000 barrel per day commitment, which is comprised of 11,500 barrels of ethane, 35,000 barrels a day of propane and 15,000 barrels a day of butane. This is an important project for Antero as it will allow us to export our growing liquids production to international markets and receive Mont Belvieu-plus pricing at the terminal. When you combine our Mariner East 2 commitment with our 20,000 barrel a day ethane firm transportation contract on the ATEX pipeline and our 30,000 barrel a day ethane supply agreement to the Shell ethane cracker, we have committed to overall NGL takeaway capacity or firm sales of 111,500 barrels a day. In addition to the Mariner East 2 announcement, we also committed to two more processing plants at the Sherwood facility called plants number 10 and 11 during this past quarter. This secures an additional 400 million cubic feet a day of processing capacity to support our liquids rich production. Antero had already previously committed to Sherwood plants 8 and 9, which are expected to be in service in the third quarter of 2017 and the first quarter of 2018 respectively, and then plants 10 and 11 are scheduled for the third and fourth quarters of 2018. As a reminder, Antero Midstream owns a 50% interest in Sherwood plants 7 through 11, as well as six future plants at a to-be-determined location through its 50-50 joint venture with MarkWest Energy. The joint venture is significant to Antero Resources for two reasons. First, it improves our downstream visibility into processing, fractionation and liquids transportation. And secondly, Antero participates in the upside from the value creation at Antero Midstream through its 59% limited partner ownership. In summary, these NGL infrastructure projects provide us with significant diversification of end markets and visibility on our growth plans. Glen will go into more detail on the pricing uplift that we anticipate from our liquids rich development plans, but it should be evident the tremendous value we see in a diversified development plan targeting both natural gas and liquids production going forward. With that, I'll turn it over to Glen for his comments.
Glen C. Warren - Antero Resources Corp.: Thank you, Paul. In my comments today, I will highlight our first quarter financial results, including price realizations and EBITDAX margins, further discuss Antero's liquids rich development plan and realized pricing uplift and conclude with a summary of our integrated business plan and how it positions us for success in both the near-term and long-term outlook. Let's first look at some of the key highlights from the quarter. Production averaged a record 2.144 Bcfe a day for the quarter, including a record 99,000 barrels a day of liquids. The liquids production during the quarter consisted of over 7,000 barrels a day of oil, and approximately 92,000 barrels a days of NGLs, representing a 45% increase from the prior-year quarter, and a 14% increase sequentially as we remain the largest NGL producer in Appalachia. The outperformance we've seen over the quarter, most notably around liquids production, plays a prominent role in our long-term strategy as it boosts our production and price realizations, which I will expand on in just a minute. In fact, Antero was also the largest producer in Appalachia in the first quarter on a gas equivalent basis at 2.144 Bcfe a day. Moving on to realized pricing during the quarter, we had another outstanding quarter for both realized gas and liquids pricing. We realized a $0.03 premium to NYMEX Henry Hub or $3.35 per Mcf before hedges on our gas production during the quarter, that's dry gas only. This is the third quarter in a row that we have realized a premium to NYMEX prices. Even with local indices beginning to tighten, our extensive firm transport portfolio still proves to be a valuable asset to Antero, enabling us to continue moving our gas to the most favorable markets and consistently achieving a premium to NYMEX. We realized a natural gas hedge gain of $75 million during the quarter or $0.54 per Mcf. Moving forward, we believe our firm transportation and hedge book will continue to be competitive advantages for us, as uncertainty in the natural gas market is likely to continue. As illustrated on slide number 7, titled largest gas hedge position in U.S. E&P. For the remainder of 2017, we're 100% hedged on our expected gas equivalent production of $3.47 per MMBtu and 96% hedged on our targeted gas production in 2018 at $3.91 per MMBtu. Through the end of the decade, we are 84% hedged versus target gas production at $3.72 per MMBtu, which is a $0.72 per MMBtu premium to the current strip. Staying on the hedge topic, our hedge book is what really allowed us to continue our activity through the persistent commodity price downturn dating back to late 2014. Since the first quarter of last year, Antero has grown production 22% from the first quarter of 2016, compared to its peer group that grew production approximately 8% on average over that time period. As we said at the time, by maintaining a considerable level of activity through the downturn, we were able to lock in more favorable terms on service contracts and keep the very best crews in place. We've also limited the ability for crews to walk away upon a ramp in activity by leveraging our ongoing working relationships. From the service provider perspective, they place a lot of value in operators like Antero as we fit nicely into their portfolio of clients that can continue development activity through the market ups and downs. This has of course proved to be very meaningful as we see a number of peers that are finding it difficult to line up necessary crews to meet their ramp in development activity. At the end of the day, it is all about delivering shareholder value and that's very difficult to accomplish when there is a lack of certainty around development plans. As it relates to liquids, we realized an unhedged oil price of $41.96 per barrel and an unhedged C3+ NGL price of $29.52 per barrel during the quarter or 57% of NYMEX WTI, which is above the high end of our recently updated 2017 guidance of 50% to 55%. The improvement in C3+ NGL realized pricing was driven primarily by the strengthening of Mont Belvieu pricing relative to WTI with local differentials improving as well. For oil sales, we recently entered into new six-month contracts effective April 1 of this year that will result in an improved average differential to NYMEX WTI of $5.50 to $6 per barrel. Moving on to our EBITDAX for the quarter, we generated $365 million in consolidated EBITDAX, a 3% increase from the prior-year quarter. Our EBITDAX margin was $1.64 per Mcfe after adjusting for the non-controlling interest in Antero Midstream. When you compare this to our Marcellus F&D cost of approximately $0.45 per Mcfe for the quarter, you can see the attractiveness of our development plan, and the unlevered recycle ratios of approximately four times, which we're able to generate. As outlined on slide number 8, titled 2017 guidance and long-term outlook, all of this translates into our ability to grow production by 20% to 25% in 2017 to 2.2 Bcfe a day, while targeting annual production growth of 20% to 22% thereafter through the year 2020. Our integrated business plan will enable us to achieve this growth while maintaining a drilling and completion budget within consolidated cash flow from operations through 2020, while also shrinking our leverage to the mid-twos range by the end of 2018. The ability to maintain these production growth levels while also deleveraging speaks to our integrated business strategy that includes best quality rock, firm transport to favorable price indices, owning our Midstream business, selling gas forward at fixed prices, and the highest exposure to liquids pricing upside in Appalachia. Antero is now the most integrated natural gas and NGL producer in the U.S. Continuing on the liquids topic, I wanted to provide a few thoughts as it relates to our substantial core liquids rich position in Appalachia, and why Antero is focused on a liquids rich development plan going forward. As you can see on slide number 9, titled largest core drilling inventory in Appalachia, Antero has largest core drilling inventory in Appalachia with 3,502 undrilled locations, roughly 75% of these locations are liquids rich and as outlined in the pie chart on the slide, that's the green portion of the bars. Antero holds 43% of the undrilled core liquids rich locations in Appalachia. This significant liquids rich inventory enables us to achieve tremendous growth in our liquids production with significant exposure to liquids pricing upside, and as I will touch on later a material uplift to our realized gas prices. On slide number 10 entitled rapidly growing NGL production, we have increased our NGL production at a compounded annual growth rate of 93% since 2014, and expect to grow to around 150,000 barrels per day by 2020. This expected growth provides us with tremendous leverage and visibility as it relates to the NGL infrastructure buildout in the Northeast and you're seeing that come to fruition with the recently announced joint venture between Antero Midstream and MPLX that Paul discussed earlier. To provide further color on liquids pricing upside, I'll refer you to slide number 11, titled liquids pricing upgrade in the Marcellus. The key takeaway from this slide is the fact that even in a $2.75 gas price environment, that's NYMEX, we can still generate around $4 per Mcfe of realized pricing on an unhedged equivalent basis, assuming $55 to $65 oil prices. With F&D costs now down in the $0.40 per Mcfe range, we've generated unlevered cash margins that yield unlevered recycle ratios in the four times range, and that's assuming total cash cost including G&A, interest expense, minority interest of about $2.25 per Mcfe. On the left-hand side of the chart, you can see the same realization of a dry gas producer at 1,050 Btu gas. Assuming a $2.75 per MMBtu NYMEX gas price, the dry gas producer would realize a $2.89 per Mcf gas price as a result of the small Btu upgrade. At 1,250 Btu which is right down the fairway of our rich gas Marcellus inventory, we will generally pick up a $1 to $1.50 per Mcf assuming a range of $55 to $75 for NYMEX WTI oil over the long-term. Some of that is condensate as you can see on the slide, but most of its from the NGL stream, which averages about 1.9 gallons per Mcf in the 1,250 Btu area, so that's a nice pick-up that we achieved from our liquids rich production stream. Before I finish up, I wanted to discuss how the integrated business platform we built in Antero positions the company for both near and long-term success. This platform starts with a substantial amount of core drilling inventory and one of the lowest cost basins in the U.S. Through this inventory, we were able to build a sustainable development program that will deliver attractive growth for multiple decades in a capital efficient manner. The company's industry-leading hedge book provides us with firm pricing on our product, while the firm transportation portfolio ensures we're able to send our gas to the best priced markets. As a liquids-rich producer, we not only realize a Btu upgrade to our gas price realizations, but we also partake in the liquids price upgrade. And finally, our 59% ownership in Antero Midstream provides us with both leverage and visibility into the infrastructure build out in the Northeast, while allowing us to participate in the value creation at AM as they build out the downstream value chain. Before we take any questions, I would like to point out that for security and law reasons, we will be limited in our ability to discuss the AMGP IPO that occurred last week. With that, I'll now turn over the call to the operator for questions.
Operator: Our first question comes from Neal Dingmann of SunTrust. Please go ahead.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: Good morning, gentlemen. Paul for...
Paul M. Rady - Antero Resources Corp.: Good morning.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: ...I guess for yourself or one of the guys there, just wondering has the recent improvement, certainly notable improvement we've seen in Appalachian NGLs, has that changed, how you think about potential drilling plans for the latter part of this year or I should say the second half of this year given just the improvement we've seen or is the plan still pretty much in place?
Paul M. Rady - Antero Resources Corp.: The plan is pretty much in place. Most of what we're drilling is quite rich and so we'll be able to take advantage of improving liquids prices, but steady as she goes, we don't see any reason to change the plan.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: Okay. And then just lastly, it seems now you're certainly much more in development mode, and the costs are reflecting that. When I look now at the plans for the remainder of the year, you mentioned a couple of four-well pads, what is sort of your optimal pad design, when you look at that for going forward in this developmental mode?
Paul M. Rady - Antero Resources Corp.: Well, optimal is, the more laterals, the better. We're going to average nine laterals per pad this year. So that's pretty good. It could increase a little bit more, probably 10 wells, maybe 12 wells would be the most we've experienced and seen out there. So we're happy in that 10-ish range that gives us five north-directed, and five south-directed, and that works well, it works well for efficiencies on rigs, and also zipper fracs.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: Perfect. Thanks so much for the details.
Operator: Our next question comes from Holly Stewart of Scotia Howard Weil. Please go ahead.
Paul M. Rady - Antero Resources Corp.: Hi, Holly. Looks like we may have lost Holly, we can come back around on Holly...
Glen C. Warren - Antero Resources Corp.: Yeah, yeah.
Paul M. Rady - Antero Resources Corp.: ...later.
Operator: My apologies. It looks like we have James Sullivan of Atlantic Global Advisors (sic) [Alembic Global Advisors].
Paul M. Rady - Antero Resources Corp.: Hey, James.
James Sullivan - Alembic Global Advisors LLC: Hey. Good morning, guys. I just want to step back for a minute here, taking a longer view on your hedge book here. As your gas production base gets bigger, do you see there having to be a philosophical shift in any way in the percentage of hedge coverage you guys would like to have in any given year, is there a size issue or can you just comment on that a little bit?
Paul M. Rady - Antero Resources Corp.: Yeah. As we get larger and larger, it takes more work to hedge 100%, so we'll play that by year going forward. The most we've been able to – well, I don't know about able to, but the most we've put in place is 2-plus Bcf a day of hedging and can we keep pace as our production climbs? Probably, but it does take some effort. So, we're watching on that and we'll see, we may be less than a 100% hedged in the future, but we'll just play it by year and see how liquid the futures markets are.
James Sullivan - Alembic Global Advisors LLC: Okay, great. Thank you guys for that. So, I just want to switch gears real quick and talk about that on the added acreage you guys disclosed there. I think you added some in southern Doddridge County, you also talked about the highlight pad down there also getting closer to the 2.2 Bcf per 1,000 feet kind of core cut-off range there, obviously I assume those two dynamics are related a little bit. Can you talk about how extensive or how much the one what you're seeing on the drilling side was playing into what you guys are doing on the acreage side?
Paul M. Rady - Antero Resources Corp.: Well, the good news is that the drilling is playing in quite well to what we're doing on the acreage side. We continue to add to block up, we've got a number of key outposts that we key off of that tell us the geology is going to be good, where we're taking leases. So, our view of how it's going to turn out is being proved up as we drill. So everything that we're adding in terms of acreage is pretty well defined and disciplined and really will lead to more development in the development program. We're not doing any wildcat outposts obviously, everything – we have I think probably close to a 100% success rate. So, we add acreage but the development plan is proving out where we're adding the acreage at.
James Sullivan - Alembic Global Advisors LLC: Great. Thanks very much, guys. Appreciate it.
Paul M. Rady - Antero Resources Corp.: Thank you.
Glen C. Warren - Antero Resources Corp.: Thank you.
Operator: Our next question comes from Holly Stewart of Scotia Howard Weil. Please go ahead.
Paul M. Rady - Antero Resources Corp.: Hi, Holly.
Holly Barrett Stewart - Scotia Howard Weil: Hi, let's try this again. Can you hear me now?
Paul M. Rady - Antero Resources Corp.: Good morning. Yeah.
Glen C. Warren - Antero Resources Corp.: Yeah.
Holly Barrett Stewart - Scotia Howard Weil: Great. Okay. Can we maybe talk just about NGL realizations? Was there anything maybe different you saw in the market this quarter or things that you guys did differently? I mean, you are nicely above where the guidance is on realizations for the full year.
Paul M. Rady - Antero Resources Corp.: Yeah. Holly, I think it was primarily just tighter differentials in the Northeast. So, I'd say NGL growth in the Northeast is flattened and you've seen less demand for railcars for oil. So, we've seen the pricing come down and good strong prices in the Northeast. So, I think it's just tied to differentials for propane particularly. For the heaviers, we've entered into some side contracts, so to speak. We talked about that in the past where those marketers have found better markets than going into the sort of the Northeast pool. So, I think it's a combination of all that.
Holly Barrett Stewart - Scotia Howard Weil: Okay. Great. Helpful. And then maybe just any commentary you can give on the quarterly cadence? I mean, the one key production number was, I think, nicely above the Street and so just kind of thinking through the 2017 guidance and kind of how the quarters might roll through that?
Paul M. Rady - Antero Resources Corp.: Yeah. I think you'll see gradual growth over the next quarter or so and then we're a bit more back-end loaded like some of the other peers this year with more of our completions coming in the second half of the year, probably over 60% of the completions are in the second half of the year.
Holly Barrett Stewart - Scotia Howard Weil: Okay. That's helpful. And then maybe one more final one, if I could, just on the ethane, you probably peaked. It looks like you had a very strong ethane quarter. You're producing above your capacity on ATEX. So, I guess, are you selling into the market using MarkWest, or how should we think about you guys getting those ethane volumes to market?
Paul M. Rady - Antero Resources Corp.: Yeah. We continue to increase our ethane recovery just to keep pace, to keep our residue gas from being too rich, and so we've got a number of side deals with buyers in different directions. And so, the sides and in other directions than ATEX, we have sales deals to sell some of our ethane to other buyers.
Holly Barrett Stewart - Scotia Howard Weil: Great. Thanks, guys.
Paul M. Rady - Antero Resources Corp.: Thank you.
Operator: Our next question comes from Carlos Newall of Raymond James. Please go ahead.
Carlos Newall - Raymond James Financial, Inc.: Good morning, guys.
Paul M. Rady - Antero Resources Corp.: Good morning.
Carlos Newall - Raymond James Financial, Inc.: Building on the ethane discussion, ethane sales continued to come in higher than expected. Going forward, how should we think about the composition of the average NGL barrel? Should we stick with the partial CT recovery mix provided back in 2Q 2016, suggesting about 25% ethane, or should we adjust ethane higher?
Glen C. Warren - Antero Resources Corp.: Yeah. The 25% ethane is approximately what it was for this quarter. I believe we had approximately 70,000 barrels of NGL C3+ and the 25,000 barrels of ethane. So that's a good proxy for going forward.
Carlos Newall - Raymond James Financial, Inc.: Great. That's very helpful. And also could you provide an update on projected firm transport utilization and also what component of excess transport is currently unmarketable and any color on that would be helpful.
Glen C. Warren - Antero Resources Corp.: Well, we certainly have some good firm transport coming. It's debatable as to when it comes online, is it July, August, September in that timeframe, and I'm talking about the Rover Pipeline. So we do have some capacity coming. But keep in mind that Phase 2 of that should follow only three months or so later. And when Phase 2 comes, then Rover will be connected to our Marcellus production and to Sherwood. So Rover, we're likely to fill fairly quickly because we can utilize that from both areas.
Carlos Newall - Raymond James Financial, Inc.: Great. That's very helpful. Thanks, guys.
Glen C. Warren - Antero Resources Corp.: Thank you.
Operator: Our next question comes from David Tameron of Wells Fargo. Please go ahead.
David R. Tameron - Wells Fargo Securities LLC: Good morning. I guess, to just building on that last question, what is your outlook, as we start thinking about ethane rejection, how do you see that or how do you see those prices, I guess, playing – that arbitrage playing over the next couple of years?
Paul M. Rady - Antero Resources Corp.: Well, the ethane economics right now are such that it's better to leave the ethane in the stream rejected and get the gas value for it, if we're just looking at, say, gas value at TECO. And so what we need to recover in order to not get our stream too rich. But the outlook would be that we need ethane prices at least in the low $0.30 range to make ethane recovery more economic.
David R. Tameron - Wells Fargo Securities LLC: Okay. That's helpful. And then, if I just think about your firm transport, obviously, it's your whole portfolio. Obviously, it's allowed you to get to where you needed to get combined with the hedges. Going forward, as we start thinking about the ramp in the Marcellus and in the pipelines, there's probably less value tomorrow than there was right yesterday, but how should we think about that? And how do you think about just that value of the firm transport portfolio, say, two years down the road?
Paul M. Rady - Antero Resources Corp.: Yeah. So, today, the differentials are shrinking in Dom South and Tetco M2 relative to some of the other indices, and that's because more distressed gas out of those pools is being bought to fill producers, shippers' available capacity in some of the new projects. So tightening differentials. We still have a couple – several more projects to come on between now, and the end of 2019, those being Columbia's Mountaineers and the Gulf Xpress' and so on. But we project for Antero alone those will come on, and then we fill them relatively quickly within one to two years. So with our growth plans, we definitely need the FT that we've signed up for. I think a number of people are looking at rig counts and trying to judge whether there is going to be available capacity, available FT longer term, for people to move into unused space or whether the pipes are going to fill up. There's been a couple of newer twists, newer developments of couple of projects that are utility pool projects, one is to the Southeast, Atlantic Coast Pipeline with the Southeast Utilities backing that one, and they want to buy in the Marcellus pool at the beginning of their pipes. So that's a situation where producers are not being asked to sign up, but instead there's a sales point directly in the heart of our acreage. Second one is Nexus going to the Northwest, a similar situation utility pool. So we're watching the environment. We know that we'll be moving quite a bit more gas but will it be us that sponsors the project or signs up or will it be doing longer-term deals into utility pool projects. And so we've got the number of years to judge how that all unfolds.
David R. Tameron - Wells Fargo Securities LLC: All right. Thanks for the color, Paul.
Paul M. Rady - Antero Resources Corp.: Thank you.
Operator: Our next question comes from Brian Singer of Goldman Sachs. Please go ahead.
Brian Singer - Goldman Sachs & Co.: Thank you. Good morning.
Paul M. Rady - Antero Resources Corp.: Good morning, Brian.
Brian Singer - Goldman Sachs & Co.: You talked a bit earlier in your prepared remarks on the acquisitions that you've made in Southwest PA and you also mentioned the core position that you put together to the degree that you now have the largest core drilling opportunity in Appalachia as you described. Is there the need for consolidation from here? And is the opportunity set as attractive as it has been from your perspective over the last year or so?
Paul M. Rady - Antero Resources Corp.: The opportunity set is still attractive. We favor more of the A&D side than the M&A side. And so we are able to – basically saying we're able to work with other companies, other peers that have acreage that they are willing to sell, that's not strategic for them. So see good things coming along. And so it is still a good environment for consolidation, maybe it'll shrink in size and it's more smaller tracks and then there is more efficiency consolidation going on where trades are being made between the various players, the various competitors both in the Marcellus and the Utica.
Brian Singer - Goldman Sachs & Co.: Great. Thank you. And then my follow-up is with regards to transportation cost, you have the guidance out there for operating expense for the year, but I wonder if you could give us a little more color on how the unit transportation costs should evolve between now and in 2018 and with and without – or before and after Rover?
Paul M. Rady - Antero Resources Corp.: Yeah. I think our range out there is I think $0.075 to $0.125 per M and I think we'll just have to evaluate as Rover comes on and when it comes on and how we utilize that as to how that gets adjusted, if it gets adjusted as we go throughout the year. But I think longer term, we expect that to be in that range or below and then eventually it evaporates by the time we get out to the 2020 or so because we're starting to fill all of that capacity. So we feel very good about our capacity as we said earlier. We fill it all up by the year 2021 based on our growth plan. So we'll be looking for what's next, whether it's taking out some of the pipe that's being built out there right now, there's some available. There may be some that becomes available or potentially longer-term maybe there needs to be another project that we could be involved with. So we're looking certainly three, four, five years out on that.
Brian Singer - Goldman Sachs & Co.: Great. Thank you.
Paul M. Rady - Antero Resources Corp.: Thanks, Brian.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Mr. Michael Kennedy for any closing remarks.
Michael N. Kennedy - Antero Resources Corp.: Thank you for participating in our conference call today. If you have any follow-up questions, please feel free to contact us. Thanks again.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.